Operator: Greetings and welcome to the Vertex Energy First Quarter 2019 Earnings Conference Call. [Operator Instructions]. As a reminder, this conference is being recorded.  It is now my pleasure to introduce your host, Noel Ryan with Investor Relations. Thank you, sir. You may begin.
Noel Ryan: Thank you, Jesse. Good morning, and welcome to Vertex Energy's First Quarter 2019 Results Conference Call. Leading the call today are our Chairman and CEO, Ben Cowart; CFO, Chris Carlson; and COO, John Strickland. I'm Noel Ryan of Vallum Advisors, the company's Investor Relations counsel. We issued a press release before the market opened this morning detailing our first quarter results. In conjunction with this release, we also posted a conference call presentation that is posted in the Investors section of our website at vertexenergy.com. We will reference this presentation throughout the remainder today's conference call.  I'd like to remind you the management's commentaries and responses to questions on today's conference call may include forward-looking statements, which, by their nature, are uncertain and outside of the company's control. Although these forward-looking statements are based on management's current expectations and beliefs, actual results may differ materially.  For a discussion of some of the factors that could cause actual results to differ, please refer to the risk sector -- risk factor section of Vertex Energy's latest annual and quarterly filings with the SEC. Additionally, please note that you can find reconciliations of the historical non-GAAP financial measures discussed during our call in the press release issued today.  Today's call will begin with remarks from Ben Cowart, who'll provide an update on business and general market conditions, followed by a financial review from Chris Carlson. At the conclusion of these prepared remarks, we will open the line for questions.  With that, I'll turn the call over to Ben.
Benjamin Cowart: Thank you, Noel. Good morning, everyone, and for those who are on the call today. We recently engaged Vallum Advisors as our new Investor Relations agency of record. Vallum specializes in serving companies in the energy and materials and industrial sectors, positioning them as a helpful resource to our investors and covered analysts. As Vertex enters the next phase of growth, we are committed to increasing our outreach with the investment community while continuing to provide public disclosure that educate and inform shareholders of our performance. Earlier today, we issued a conference call deck for the first time. It provides greater detail around financial and operational data that we use to manage the business. By disclosing this data, we believe the investment public will begin to discover the many opportunities for value creation that lay ahead for Vertex.  With that introduction, let's begin on Slide 3 of the deck. The first quarter was impacted by lower-than-planned production rates and regional flooding affecting the Marrero refinery, coupled with lower realized product margins attributable to higher costed per used motor oil feedstock, the net result was a $1.4 million year-over-year decline in adjusted EBITDA in the first quarter.  Overall, business conditions have improved in the early weeks of the second quarter. During April, both our Marrero and Heartland refineries operated near peak capacity, while refined product margins have improved materially versus first quarter levels given lower feedstock costs, a stalling distillate crack spread and an 18% increase in our base oil products that went into effect May 1.  On a trailing 12-month basis, our adjusted EBITDA is $6.5 million versus $2.1 million in the prior year period, a positive trend that we expect to further improve as we transition into the remainder 2019 which is expected to be weighted towards the second half of the year.  During the first quarter, we continue to increase our collections of used motor oil throughout our system, with a total collection growth of 18% year-over-year in the period. Importantly, the mix of cost advantage of direct collections as a percentage of the total continued to increase during the period, with direct collections representing 39% of our total, up from 34% the prior year period.  While throughputs at Marrero were down 1% year-over-year in the first quarter, given flooding and related logistic issues along the shipping channels where we operate, throughputs at Marrero still were up more than 5% on a trailing 12-month basis. At our Heartland refinery, operations performed exceptionally well during the first quarter with total throughputs increasing 10% on a year-over-year basis.  Again, we've begun to see product spreads widen during April and into early May, a reversal of what we experienced in the first quarter. Within the base oil markets, we've announced an 18% increase in base oil prices effective May 1, which benefit margin capture at Heartland where we produce Group II base oils.  Within the diesel market, a spread decline in 3% high sulfur fuel oil prices ahead of IMO 2020 has contributed to a robust distillate crack spread. Helping to support favorable economics at Marrero, where more than 80% of our volumes are middle distillates sold to the marine fuel market. At a strategic level, we remain focused on managing safe, reliable operations reducing our UMO feedstock cost through increased direct collections, while optimizing our product slate towards higher-margin, especially petroleum, products and growing end markets. Given our tight reign over capital expenditures, together with continued growth and trailing 12 month cash flow from operations, Vertex is positioned to generate positive free cash flow in the current calendar year.  Turning to Slide 4 and 5. Here, we see that total revenues, gross profit, adjusted EBITDA and adjusted EBITDA margin have all improved materially versus last year on a trailing 12-month basis. As illustrated in the EBITDA bridge on Slide 5, weather- and production-related issues at Marrero together, with less-than-favorable margins realization at Heartland, representing most of the year-over-year decline in adjusted EBITDA in the quarter. With both Marrero and Heartland currently operating at near capacity, we are taking advantage of a healthy distillate crack spread and improved economics on the high-purity base oils we market out of Heartland and through third-party producers.  Turning to Slide 6, 7 and 8. Our overall collection volume growth remains strong. On a trailing 12-month basis, a gallon from our collection operations cost, on average, $0.35 less than a gallon supplied via third party. Last year, we purchased roughly 53 million gallons of UMO from third-party suppliers. If we were to entirely displace the third-party volume would with direct collections, we could reduce our feedstock cost by more than $18 million annually. To that end, on Slide 7, we can see that we have generated year-over-year collection growth of 17% each of the last 4 quarters, bringing our total direct collections as a percentage of total throughputs to 39%, up from 30% just 3 years ago.  Turning to Slide 9 and 10. Here, we reiterate why Vertex remains well positioned heading into IMO 2020. As you can recall, we purchase UMO at a discount to the Gulf Coast 3% high sulfur fuel oil benchmark. As we approach January 1, 2020, the price for high sulfur fuel oil continues to decline. As the Marine vessels prepare to begin consuming bunker fuel with a sulfur content of at or below 0.5%. We believe this dynamic will, over time, put significant downward pressure on UMO prices, lowering our cost of feedstocks. On the product side, the shift to low sulfur marine fuels has already begun to push ULSD prices higher as refiners scramble to produce on spec marine fuel. In fact, we're hearing that several large commodity traders are storing low sulfur fuel oil offshore in tankers with the expectation that the demand for IMO spec bunker fuel would drive prices materially higher once the regulations go into effect in January.  Currently, we produce 100,000 barrels per month or nearly 50 million gallons per year of middle distillate at our Marrero refinery, positioning us as a clear potential winner once the IMO regulations come into effect. On Slide 10, we show the spread between WTI and 3% high sulfur fuel oil. As you can see, the future strips indicate that high sulfur fuel oil, the benchmark for UMO feedstock pricing goes from $5 per barrel above WTI to $12 per barrel below WTI 1 year from now, a net benefit of more than $17 per barrel.  Historically, high sulfur fuel oil is traded at significant discount to WTI, so the future strips reflect a return to this market structure. Importantly, this structure should result in improved margin capture for Vertex, particularly as UMO values continue to decline back to historical levels following the transition to IMO.  Turning to Slide 11. Here, we bifurcate organic growth opportunities between those with low to no capital requirements versus those that require external third-party financing. Notably, each item opportunity significant cash-on-cash returns. However, given our commitment to reduce our net leverage while we maintain sufficient liquidity to manage the business, we are restricted to CapEx slide initiatives excluding the potential for third-party financing from one or more private investors who may seek to partner with us on a project-by-project basis.  Beginning with the opportunity around direct recollections, given the significant widening cost differential between self-collected gallons and third-party gallons, the importance of growing self-collections cannot be overstated. While historically, we serviced UMO customers within a 200- to 300-mile radius of our refineries, there are opportunities that open new markets with our existing fleet of trucks and rail infrastructure. Overtime, we may become a more active consolidator of small UMO operations given the fragmented nature of the industry.  Turning to TCEP. Our Thermal Chemical Extraction Technology, or TCEP, remains a significant opportunity, one that will allow us to produce a diesel substitute that can be used in the blending of IMO spec low sulfur marine fuels. The opportunity to supply intermediates into the bunker fuel market will be an increasingly attractive value proposition for us, particularly given the evident stream in the distillate crack spread. We believe there's a high probability of continued execution around our UMO collection growth in addition to the opportunity around TCEP.  At our Myrtle Grove facility, we have identified a project that would position us to become one of the first large-scale producers of Group III base oil in the U.S. Separately, we have a project at our Baytown marine terminal that would position us to commence production of low sulfur marine fuels that could be sold to marine vessels along the Houston Ship Channel where the facility is located. Given the significant CapEx involved with executing both Myrtle Grove and Baytown projects, we have reached out to several potential partners to gather indication of interest.  Currently, we are in late-stage talks with one potential sponsor and will provide additional color should we choose to move forward with one or both of these opportunities. We believe, the Group III base oil initiatives have a medium to high probability of moving forward given superior project economics.  As indicated on Slide 12, we illustrate how, over time, we are positioning Vertex to move up the value chain. From a supplier of commodity petroleum-based intermediates and IMO marine fuel towards a portfolio that is weighted increasingly towards high-purity base oils and potentially niche lubricant products. We believe that our value and specialization as evidenced by the higher valuations assigned base oil and lubricant manufacturers when compared to commodity fuel refineries. While this transition of the value chain will be measured in years not quarters, requiring some level of increase capital investment, we believe this approach uniquely positions Vertex to create long-term value for our shareholders.  With that, I'd like to turn the call over to Chris Carlson to discuss our operating segments, capital structure and liquidity.
Christopher Carlson: Thanks, Ben, and welcome to everyone joining us on the call today. Please turn to Slide 13 and 14 for a discussion of our product segments. Our Black Oil segment, which represented nearly 80% of total gross profit in the first quarter, experienced a year-over-year decline in gross profit margin due mainly to higher feedstock costs and lower production volumes in the period. However, on a trailing 12-month basis, gross profit margin increased on a year-over-year basis to 18%.  Within our Refining & Marketing segment, gross profit declined in the first quarter given the choice not to run certain petroleum co-product as feedstocks. Within our Recovery segment, gross profit margin increased during the first quarter given increased volumes and commodity prices. On Slide 14, we see both our Marrero and Heartland refineries are operating near peak utilization, with Heartland having run at 100% utilization on a trailing 12-month basis. With our refineries running at or near peak capacity, our ability to extract additional value from these assets will come in 1 of 2 ways. First, we can lower our feedstock costs at the refineries by increasing our direct collections. And second, we can optimize the product slate at each facility to ensure we are producing the highest-margin products demanded by customers.  Turning to Slide 15, 16 and 17. We provide refinery level detail on our performance at Marrero and Heartland, respectively. Beginning With Marrero. Lower production rates resulted in lower sales volumes and higher operating costs at the refinery during the first quarter. At Heartland, total sales volumes increased 16% in the first quarter, supported by a significant year-over-year increase in base oil sales. Importantly, as Ben stated earlier, we have announced an 18% base oil price increase effective May 1 that will benefit economics at Heartland beginning in the second quarter.  Finally, turning to a discussion on our P&L, balance sheet and capital structure. We are currently in compliance with all of our debt covenants under our term loan and another credit facilities. Net term debt to trailing 12-month adjusted EBITDA was 2.3x as of March 31, 2019, versus 7.7x as of March 31, 2018. We continue to have cash and access to our banking facilities which are sufficient to support the operations of the business. We are currently in talks with multiple lenders to refinance our $15.4 million term loan due February 2020, which we expect should be completed by the end of the third quarter.  Currently, we anticipate total second quarter collections will be in the range of 8 million to 8.5 million gallons. We expect SG&A will be in the range of $5.5 million to $6 million. We expect depreciation and amortization will be in the range of $1.8 million to $2 million, and we expect interest expense will be in the range of $750,000 to $800,000. These estimates are current as of the time provided and are subject to change as the quarter progresses.  With that, I will turn the call back over to the operator as we take questions from those joining us on the call today.
Operator: [Operator Instructions]. Our first question from the line of Eric Stine with Craig-Hallum.
Eric Stine: So I just wanted to -- I mean, obviously, first quarter impacted by some onetime events in margin performance accordingly, but maybe just some context. I know the price increased, spreads have widened. I mean, should we think about, especially in black oil, that you're back to that -- I think you've given 18% to 22% gross margins in the past? Is that legit? And then -- I mean are you thinking that you'd get above those levels in particular as you get into fourth quarter of this year and see the IMO 2020 benefit?
Benjamin Cowart: Good question, Eric. Yes and yes. So we feel like we're well inside our ratable margins now, and we see the back half of the year with good improvement.
Eric Stine: Got it. And then -- I mean, so collection volumes -- and I do appreciate you're clearly giving a whole lot more information which I think is great and is very helpful. I know the collection percentage in the first quarter, to some extent, is a result of some of the production being lower at Marrero. But I mean do you have kind of a target in mind in terms of percentage when you look at the entire year for fiscal year '19? I know it was -- I believe you're at 30 million gallons in 2018, how do you think about that? And then our -- when you look at whether it's rolling up small collectors, I mean, does that get harder? Or does that get easier with IMO 2020 coming and presumably charge for oil is back in the market?
Benjamin Cowart: Yes. So first of all, I'm very comfortable at about 35 million gallon collection rate for the year with maybe a little bit higher run rate coming out of the year. So we're definitely trending in that direction which is another very strong growth year, most of which would come organically, which is very accretive to the company and our shareholders. So as far as acquisition opportunities, the market's still rather fragmented at the lower tier. And so we've really looked at several of those opportunities and we think that with the pressure on UMO values, this could create more opportunities for us towards the back half of the year going into 2020 for small acquisitions.
Eric Stine: Yes. Got it. Okay. Maybe last one from me just on TCEP, and obviously high -- as you laid out, high probability you move forward on that. I mean is that -- just an update there. I know over the last couple of quarters, you'd undergone some testing in those sorts of things. I mean is that something that is basically set to go, you just need to make the decision? Or are there additional steps that are needed for you to move forward on that?
Benjamin Cowart: Yes. There's still some steps. Obviously, there's really not a market for TCEP that's material until 2020 January. So we've got 2 or 3 steps ahead of us that we're working on that we feel pretty comfortable with at this point. One, we're waiting on the specs to come out for the 0.5, that's a key component. And we're planning a full production palate probably next month at the facility. We've run some palates here recently. We've got samples. We're getting forensic analysis and potential engine testing on these -- on the product. So I think everything is moving fine. I think we're ready. It's not a major capital investment for us, we don't think, and so we're just kind of moving at a good pace just waiting on other things to happen for us.
Operator: Our next question is from the line of Michael Hoffman with Stifel.
Michael Hoffman: First, in the first quarter there was the disruption at Marrero so late that you couldn't feedstock into it, it wasn't an operational issue? Just what was the [indiscernible]?
Benjamin Cowart: Yes. Most of the year-over-year in fact, Michael, was related to Marrero, other than in our margin impact there was the soft base oil margin. Obviously, that's improved this quarter and resolved itself. But we carried higher cost feed into the quarter from the fourth quarter and we really -- I think we signaled everyone on the last call that we expected our third-party cost and our feed cost to be much higher than -- say much higher, definitely higher than what it should be on a ratable basis. So we digested all of that along with the base oil spreads and that reflects the margin impact.  Now what was a surprise to us, though we only were off 1% in our production volume year-over-year, we've increased capacity at Marrero, too, and we had higher planned production for the first quarter that was hampered in several ways. One, as you said, getting feedstock to the refinery was one issue. But more than that, we kept hitting inventory max levels on our finished product tanks because we couldn't -- our buyers couldn't get in what barges in order to lift the product. So we had to throttle the plant back in the first quarter multiple times. And so it's just a cluster of 3 weeks' worth of unplanned fog as far as marine traffic. The Mississippi River flooding, where you couldn't navigate, you couldn't get in to lift product. There was -- all the refineries were in turnaround, so all the barges were soaked up, so you couldn't get transportation to move anything. So it was...
Christopher Carlson: ITC fire was a problem.
Benjamin Cowart: Yes. The ITC fire at the ship channel hampered our ability to move product -- feedstock. So trying to pinpoint each one of those was pretty difficult, but we had significant operating cost. Now we got a lot of equipment on charter, which you bear all that costs because you got to pay for their equipment and you're not getting the utilization. But fortunately, we still had chartered equipment, so we were able to do much better in the river and in the Houston port compared to even a lot of the major oil companies. Some of the majors were behind 45% year-over-year in their volumes just because they couldn't get anything moved.  So that really is the bigger surprise. But fortunately, if you look at Slide 5, we've offset some of that with higher volume, especially at the Heartland refinery we're up 10% year-over-year, so we picked up extra $600,000 of margin. Cost savings, we've reduced cost. And our collection growth continues to add more value. So there really weren't a lot of surprises for us, hopefully not for our investors based on our last call.
Michael Hoffman: And I apologize that I don't have the slide deck because I'm remote, so if I'm asking questions that's on the slide deck, I apologize.
Benjamin Cowart: No problem.
Michael Hoffman: Have you quantified in that slide deck then the -- those impacts so that if you normalized them, they're not [indiscernible] what that looks like?
Benjamin Cowart: Yes. Yes, we've got EBITDA -- adjusted EBITDA bridge which is on Slide 5.
Michael Hoffman: Okay. Perfect. And then how would frame your spread today either on absolute cents per gallon or just what's the difference sequentially that's happened in spread from 1Q into 2Q?
Benjamin Cowart: Yes. 18% just on our base oil sales price, our feed costs hadn't moved against that too much. So we're, I guess, ahead there. Putting out an actual spread per gallon across the whole company, it probably is a little bit of a challenge here on this call. But I will say this -- in what I discussed in the fourth quarter call was if you look at fourth quarter '17 to September 30, we had an 11.1, 11.3 run rate of EBITDA. And then the fourth quarter, you had this downturn that we had to digest which the first quarter was part of that. And I anticipated the business would come back out on the other side with an operating spread and EBITDA run rate that would be as good or better than what we were doing before the downturn in the fourth quarter. I still believe we're there or a little bit ahead of that.
Michael Hoffman: Okay. And then would it be a fair characterization that probably the most obvious sign of -- external obvious sign of an improvement based on IMO 2020 is that 4Q '19, we should see base oil prices go up when normally seasonally they would dip. And that's probably the most obvious external signs that this is really happening.
Benjamin Cowart: Yes. For me, it's a little bit early to try to put my finger on how base oils are going to respond in the fourth quarter of '19. But it's logical that we should see a stronger base oil market because of higher demand on vacuum gas oil which is the feed for base oil. And so, yes, I would agree with that. But what to me I feel more certain about is that the high sulfur fuel oil price is going to continue to decline and we kind of laid that out -- I know you don't have your information, but if -- those that do, on Slide 10, these are future strips that -- paper that's in the market that indicate future values for high sulfur fuel oil. And today, we're trading at $5 premium, which is really abnormal, it's not historical. Normally, high sulfur fuel oil trades $10 below WTI, if you go back historically.  So really IMO is taking us back -- at least only paper values, back to historical levels. There's nothing abnormal to see us get back to those numbers. So the real question is, is it going to be deeper than that or not, we'll have to wait and see. But we're pretty comfortable that we're going to see our feed costs to decline. And that's what we have already started to see in the second quarter, is the high sulfur fuel oil, the WTI in March, it was like $0.22 a gallon premium at the beginning of March. And today, it's $0.03 a gallon. So it's come off quite a bit. We benefit straight to the bottom line. As long as our diesel values hover in the same range, then our feed cost is coming down. So that's what we're seeing in the second quarter.  IMO calls that shortage in that high sulfur fuel oil took off way ahead of WTI because people were getting out of the bunker market early. Now I think it's starting to settle out and starting to transition.
Michael Hoffman: And then on your 35 million gallons, where -- what's the relationship of the change in PFO to CFO at this point? What's been that movement in the last 6 months?
Benjamin Cowart: Yes. I don't -- it really hadn't moved that much. I mean we've delved into a charge and we're like low-single digit pay-for-oil at the moment. So it's just kind of hovered kind of at that no-pay no-charge range, I would guess.
Operator: Our next question is from the line of David Manthey with Baird.
David Manthey: Okay. If I understood what you just said, you said you're hovering right around 0 in terms of charge-for-oil, pay-for-oil. Currently, I think both Safety-Kleen and Crystal-Clean said exiting March if the trends were a little bit better than that. Is that how you're trending as well?
Benjamin Cowart: Yes. Well, unlike our two peers, we have a small percentage of direct collections. So we have a $0.35 a gallon contribution margin on our collective volume compared to what we had to pay for third-party supply. So we've got a little bit more liberty to do more for growing our collection business. So I would say that our trend is probably going to remain where it is. I don't see it improving because we really want to grow and expand our collection footprint. So that's -- when you look at $0.35 a gallon benefit, we got a lot of room to work with.
David Manthey: Makes sense. And that's an all-in cost per gallon of getting the used motor oil from the generator to your refinery?
Benjamin Cowart: That's right. That's fully loaded at the gate in comparison.
David Manthey: Okay. And then earlier in the call you implied that some acquisitions or deals could break in maybe the second half of '19 as these aggregators kind of start to understand the economic impact by IMO 2020. Has your acquisition pipeline for UMO collectors improved lately? Have you seen conversations, anything that we can think about there?
Benjamin Cowart: Yes. I wouldn't say it's gotten bigger or smaller. We've been in the market talking to different companies on a consistent basis. We really have not pressed that area today. I mean we're really looking to lower our debt and really generate cash flow and seize the organic growth opportunities that we can as a priority. That's why we think towards the end of the year and going actually into 2020, it'd make more sense to start looking at smaller acquisition. Today, like I said, the last 12 months, there's been $0.35 a gallon differential from what we paid third party to what we collect ourselves. So we've got more options than just acquisition.
Operator: Our next question if from a line of Tom Bishop with BI Research.
Tom Bishop: Sticking with that UMO thing. Can you just explain to us the -- how you expect that charge to change as we get towards 2019 and 2020? And...
Benjamin Cowart: Well, Tom, I hope it doesn't change. I hope that this decline in high sulfur fuel oil pricing as well as less demand for used motor oil, there's 2 things going on with the IMO. The utility market has really backed away from dirty, cheap fuels that UMO has typically gone into. So we think that the market should stay flat to continue -- or continue to be more attractive for us based on the refining capacity that we got. Just hard to say until we get a little bit closer to the back half of the year.
Tom Bishop: But UMO prices, overall, are expected to decline substantially?
Benjamin Cowart: Well, again, we -- that's driven by the forward curve high sulfur fuel oil. And based on the fuel oil indexes, I would say, yes.
Tom Bishop: Okay. Could you just go through the production by plant? And I'm also interested in -- for every gallon you collect or buy, of input, how many gallons of output are there?
Benjamin Cowart: Well, other than the water and a little residual that comes out of process, it's a one for one. You got different products that's produced from the process, so you go from light fuels to middle distillate to asphalt flux that goes to the asphalt market. So it's -- there's not a big yield gain and the only yield loss would be water and impurities that are taken out of the process.
Tom Bishop: Okay. So that's not something I need to worry about. Could you then just go through the plant capacities currently?
Benjamin Cowart: Yes, I'll turn it over to John Strickland.
John Strickland: Tom, are you looking for the nameplate or what we think we're going to run? Like Marrero, the nameplate we put on it is 67 million, and we plan to quite at 65 million this year there, UMO direct. And at our Heartland facility, we got it at 20 million, and we're going to run a little over 19 million this year is the plan today.
Benjamin Cowart: Well, the original nameplate was 18 million.
John Strickland: Yes.
Benjamin Cowart: So we've been...
John Strickland: Yes. So we've raised that up with the CapEx projects we put in there last year. So we feel real good about our run rates at our facilities now. We got a few more CapEx, a project we're going to do at Marrero this year to help that. So we feel good about our run rates and we think we'll be in the mid-90s or high 90% range is where we'll be this year.
Benjamin Cowart: Yes. Well, if you look at Slide 14, we're averaging 96% of nameplate capacity for the last 12 months. So with Heartland, actually being at 100% last year. So I think that the team's done a really good job of sustainable, ratable operations over the last 2 or 3 years. So the plants are doing really well.
Tom Bishop: And what about TCEP? Is that going to produce a low sulfur fuel oil? Or is it going to -- something that can be blended to?
Benjamin Cowart: Yes. It will be a blend stock because the sulfur is much lower than the spec, it's like a 0.22 sulfur. So the spec is 0.5. So I'm assuming that people will take advantage of the lower sulfur content to raise sulfur -- I mean to bring in higher sulfur barrels to meet the 0.5 spec. So that's a positive. But yes, that's the way it'll be used.
Tom Bishop: Okay. And finally on the base oils, you said you're going to take an 18% price increase. So I was kind under the misguided perception that pricing just kind of happen on a day-to-day basis but depending on the market. So I'm a little -- can you just explain how that works?
Benjamin Cowart: Yes, absolutely. You're correct. There's base oil pricing indexes that we follow and a lot of our contracts are tied to. And effective May 1, we've been able to follow those indexes with an 18% increase in our product value.
Tom Bishop: For the portion of the product that's contracted.
Benjamin Cowart: No. Our spot sales as well. So we're sold out of base oil, certainly, through the second quarter and more or less for the rest of the year despite some contracts and what we believe is ratable spot demand.
Operator: Thank you. We have reached the end of our question and answer session. So I'd like the pass the floor back over to Mr. Cowart for any additional concluding comment.
Benjamin Cowart: Thank you, Operator. Thank you, all, for joining us on the call today. The second quarter is off to a strong start, supporting by collecting -- collection growth, reliable refining operations and improve product margins. Over the next several weeks, management will attend 2 investor conferences including the Craig-Hallum conference in Minneapolis on May 29. In addition to the Stifel Cross Sector insight conference in Boston on June 10 through 12. In the interim, should you have any questions, please contact Noel Ryan of Vallum Advisors at 720-778-2415 or ir@vertexenrgy.com. That concludes our call. Thank you for your continued support.
Operator: Ladies and gentlemen, once again this does conclude today's teleconference. We thank you for your participation, and you may disconnect your lines at this time.